Operator: Welcome to Globus Medical Fourth Quarter and Year-End Earnings Call. At this time, all lines will be on mute and a Q&A session will be held after the prepared remarks. Joining today’s call from Globus Medical will be David Paul, Chairman and CEO; Dave Demski, President and COO; and Richard Baron, Senior Vice President of Finance and CFO of Globus Medical. I will now turn the call over to Rick.
Richard A. Baron: Thank you for being with us today. I will now read our required legal disclaimer. During this call, certain items maybe discussed that are not based entirely on historical fact. These items should be considered forward-looking statements and are subject to many risks, uncertainties and other factors that are difficult to predict and may affect our business and operation. As a result, our actual results may differ materially and adversely from those expressed or implied by our forward-looking statements. A discussion of some of these risks, uncertainties and other factors is set forth in today’s press release and in our periodic reports on file with the SEC. These documents are available at www.sec.gov and the Investor Relations section of our website at www.globusmedical.com. We undertake no obligation and do not intend to update any forward-looking statements as a result of new information or future events or circumstances arising after the date on which it was made. The financial information discussed in connection with this call, reflects estimates based on information available at this time, and could differ materially from the amounts ultimately reported in our annual report. Our revenue earnings, operating margins and similar items are sometimes expressed are non-GAAP basis and have been adjusted to exclude certain items including among other things, interest expense, depreciation and amortization, taxes, provision for litigation settlements, and stock-based compensation. The comparable GAAP financial information and a reconciliation of non-GAAP amounts can be founded in tables included in today’s earnings release, which is available on the Globus Medical Investor Relations webpage at www.globusmedical.com. I will now turn this call over to David Paul, our Chairman and CEO.
David C Paul: Thank you, Rick. Thank you for joining us on the call today to discuss our 2012 results. We are pleased to report to you our record results for 2012. Our annual sales of $386 million, net income of $73.8 million, adjusted EBITDA of $136.6 million and diluted EPS of $0.80 were all records for our Company. 2012 was a tremendous year for Globus, with industry leading revenue growth, continued strong profitability, the completion of a successful IPO, and the launch of 14 new products, including our first PMA approved product, the SECURE-C cervical disc replacement device. We were able to grow our international presence to 24 countries. We continue to take market share from our competitors and expect to continue that momentum into 2013 and beyond. In 2012, we also launched Algea Therapies and have made significant investments in a dedicated sales force and product development group to focus in – on this market opportunity in interventional pain management. Our first product, the AFFIRM Kyphoplasty was introduced in February and will cater to the approximately $500 million vertebral compression fracture market. We are developing a suit of differentiated products in this area and will begin further product introduction this year. We expect this ongoing investment to contribute to our growth and profitability over time. We are confident in our ability to take market share in the back drop of the current spine market climate and provide strong double-digit industry leading growth and maintain our profit margins for the foreseeable future. Our strategy of utilizing our product development engine to rapidly develop new products, while expanding our sales footprint worldwide will continue to provide the fuel of profitable growth into the future. I will now turn the call over to Dave Demski, our President and Chief Operating Officer to discuss our results in more detail.
David M Demski: Thank you, David. As David mentioned, we’re very pleased with the record sales of profit this year. Worldwide sales were $386 million, up 16.4% over 2011. Net income for the year was up 21.5% over 2011 at $73.8 million or $0.80 per diluted share. Our non-GAAP adjusted EBITDA margin was 35.4% for the year compared to 35.8% for the year of 2011. In the fourth quarter, our total worldwide sales top $100 million for the first time, an increase of 14.3% over the fourth quarter of 2011. Fourth quarter net income of $20.8 million represents an increase of 53% over the fourth quarter of 2011. Fully diluted earnings per share were $0.22, an increase of 46.7% over the fourth quarter of 2011. Non-GAAP adjusted EBITDA for the fourth quarter including our investment in Algea Therapies with 34.6% compared to 34.4% in the fourth quarter of 2011. Excluding Algea, the fourth quarter adjusted EBITDA would have been 38%. Internationally we made our target expansion into new countries as well as increased our sales overall, achieving annual sales of $30.4 million, up 48.6% over 2011. Fourth quarter OUS sales were $8.6 million, up 36.9% over the fourth quarter of 2011. We continue to remain focused on hiring and expanding our sales footprint both in the U.S. and internationally and are very satisfied with our ability to attract top industry talent. Product development continued its strong pace launching 14 products in 2012. Notable launches within the year include SECURE-C our recently approved cervical disc, which was launched in October 2012. The outstanding clinical results from the IDE study showed superiority and overall success compared to traditional ACDF and initial clinical feedback from our customers has been tremendous. AFFIRM, Algea Therapies first product, which has an array of options for minimally invasive treatment of vertebral compression fractures with Kyphoplasty. This is the first in the series of products we will be launching in this base. RISE, which is an innovative expandable lumbar fusion device that can be inserted through an endoscopic tube. RISE is inserted while contracted and then expanded within the disc space to achieve optimal fit for the patient. The RISE implant when utilized with our IntraLIF procedure minimized anatomical disruption over traditional fusion technique. Also in 2012 is on SI-LOK, our Sacroiliac Fixation System. SI-LOK includes hydroxyapatite coated screws, with an optional slot for bone graft materials. SI-LOK is a design to alleviate pain and by fusing the joint as it performed through a minimally invasive approach. Other key notable launches were FORTIFY. An expandable corpectomy spacer made in titanium and PEEK, designed for one step insertion and expansion, implantable through a variety of approaches and is modular to allow surgeons to optimize fit for each patient. PLYMOUTH, our Lateral Plate System and the latest addition to our minimally invasive lateral portfolio, which includes our MARS 3V retractor system, Transcontinental, Intercontinental and CALIBER-L. Also of note, at the end of the fourth quarter we purchased a 112,000 square foot facility adjacent to our headquarters for $4.2 million to support our future growth. In 2012 we added $69.7 million to our cash balance ending year at $212.4 in cash and cash equivalent. We remain debt free. We believe our future success will be driven by rapidly introducing superior products, continually expanding our sales footprint, both internationally and domestically and maintaining our focus on efficiency and profitability. I will now turn the call over to Rick Baron to provide details on our financial results. 
Richard A. Baron: Thank you, David. Today I will review our financial performance for the fourth quarter of 2012 as compared to the fourth quarter of 2011. The key elements of the income statement, balance sheet and statement of cash flow. I will also highlight certain aspects of performance of the Company for the full-year 2012 as compared to 2011. Our worldwide sales for the fourth quarter of 2012 were $100.5 million, a 14.3% increase over the fourth quarter of 2011. Innovative fusion sales increased this quarter to $58.2 million or by 2.9% from the prior year’s quarter, while disruptive technology sales increased this quarter to $42.4 million or by 34.7% from the prior year’s quarter. Sales in the United States for the fourth quarter of 2012 grew to $91.9 million or by 12.5%, while international sales grew to $8.6 million or by 36.9% from the prior year’s quarter. Overall growth in sales was attributed to expansion of both domestic and international territories and greater penetration in existing territory. Particularly noteworthy is that during 2012 we expanded our international footprint to 24 countries served by a combination of exclusive direct sales force and exclusive distributor network. Gross profit for the fourth quarter of 2012 was $81 million or 80.5% of sales for the current quarter as compared to $68.5 million or 77.9% of sales from the prior years fourth quarter. Research and development expenses this quarter were $7.2 million or 7.2% of sales as compared to $5.8 million or 6.6% of sales for the same period of 2011. Selling, general and administrative expenses were $44.6 million or 44.4% of sales compared to $37.9 million or 43% of sales for the prior years fourth quarter. The increase in SG&A as a percentage of sales this quarter as compared to the prior year’s quarter is due to our investment in Algea Therapies. Operating income increased to $29.1 million or 29% of sales for the fourth quarter of 2012 as compared to $23.7 million or 26.9% of sales for the prior-year’s quarter. Adjusted EBITDA for the fourth quarter of 2012 was 34.6% of sales or $34.8 million as compared to 34.4% of sales or $30.3 million in the prior-year’s quarter. The income tax rates for the current quarter was 28.6%. This is approximately 850 basis points lower than the normal tax rates for the Company. Factors impacted were year-to-year adjustments to the federal corporate tax rates due to the corporate manufacturing deduction and valuation allowances associated with certain international jurisdiction. Although this rate was lower than the normal rate, it was also unfavorably impacted by the expiration of research and development tax credit, which was not extended by Congress until 2013. The effective legislative delay was to cause 2012 rate to be 0.6% higher. The effective tax rate for the Company is expected to be 36.6% for 2013, when factoring in the effect of the R&D tax credit for 2012, it should be – we expect it to be 36%. Net income was $20.8 million or 20.7% of sales. This compares to $13.6 million or 15.4% of sales. Earnings for fully diluted share were $0. 22 for the fourth quarter of 2012 and $0.15 for the prior year’s quarter. Fully diluted share count for the fourth quarter was $93.5 million and $90.3 million as of December 31, 2012 and 2011 respectively. Worldwide sales for the year ended December 31, 2012 were a record $38.6 million, which was $54.5 million or 16.4% greater than 2011. This was due to overall strength in both innovative fusion, which was $238 million – $238.7 million in 2012 growing at a rate of 6.4% from the prior-year sales. Disruptive technologies was a $147.3 million which grew on a rate of 37.5% from the prior years sales. U.S. sales for 2012 grew to $355.6 million or by 14.3%. While 2012 international sales grew to $30.4 million or by 48.6% from the prior years quarter. Growth which occurred in both U.S. and OUS sales was due to sales growth within existing territories, expansion to do domestic and international territories in which we sell. Gross profit for the year increased to $310.8 million or 80.5% of sales as compared to $262.7 million or 79.2% of sales in the prior-year. Research and development expenses for the year were $27.9 million or 7.2% of sales compared to $23.5 million or 7.1% of sales for 2011. 2012 selling, general and administrative expenses were $168.9 million or 43.7% compared to $140.4 million or 42.4% of sales compared – as compared to 2011. Again, this increase in SG&A as a percentage of sales is due to our investment in Algea Therapies. Operating income increased to $114.8 million or 29.7% of sales for the year as compared to $97.4 million or 29.4% of sales for the prior-year. 2012 annual adjusted EBITDA for the year was a $136.6 million or 35.4% as compared to a $116.6 million or 35.8% for the prior-year. The income tax rate for the year was 35.6% as compared to 37.3% from the prior-year. Net income for the year increased to $73.8 million or an increase of 21.5% as compared to the prior-year period. Fully diluted earnings per share for the year were $0.80 for the year as compared to $0.67 in the prior-year. Fully diluted share count for the year was $92.2 million and $90.4 million as of December 31, 2012 and 2011 respectively. The cash balance was $212.4 million as of December 31st, compared to $142.7 million as of the same period 2011. We continue to remain debt free. As David indicated, and consistent with our previous views over the long-term, we feel we can sustain double-digit sales growth. This is consistent within a range of our growth for the second half of 2012 over a rolling 12 months period. This growth will of course be a range and will need to address the growth in prior year’s period. Growth – gross margin percentage and adjusted EBITDA will need to be adjusted for the medical device tax, which will affect us by approximately 180 basis points. Adjusted EBITDA percentage will also need to be adjusted for the effective Algea Therapies. As we’ve experienced it during the last half of the current year, the effect of Algea on adjusted EBITDA will mitigate over the next 24 months as this effect mitigate we plan to invest similar percentage of adjusted EBITDA into future innovation. Overall we feel that we have performed well this year. We’ve increased sales by 16.4% launch and completed in IPO, expanded our international reach, completed a bolt-on acquisition and received the PMA approval and launched SECURE-C as well as 13 other new products. We are well situated to continue our upward growth and remain steadfast towards delivering our industry leading growth and profitability in the foreseeable future. At this point, I’d like to open the line for questions. Operator?
Operator: Yes sir.
Richard A. Baron: We can take questions at this point.
Operator: At this time we have a question from Matt Miksic.
Matt Miksic - Piper Jaffray & Co.: So, I wanted to maybe ask you if you could talk a little bit about some of the sequential trend maybe whether they’re tied to the market at all, whether they’re tied to successful initiatives on your part across your product line. And I’m speaking particularly of what looks like a pretty big jump in disruptive technologies from Q3 to Q4 and then what a little bit more of a shallow increase on the innovative fusion side, and I have just a couple of other quick follow-ups.
David M. Demski: Hi, Matt, this is Dave. I think that’s very consistent with the relative growth we’ve shown in the past as our overall portfolio kind of transitions to the more disruptive products and the fusion market is relatively stagnant. I think you’ll continue to see that trend.
Matt Miksic - Piper Jaffray & Co.: Okay. So nothing in particular you’d call out in terms of sort of better than expected new product performance or greater than expected pressure on core traditional market?
David M. Demski: No. It's pretty much as it has been.
Matt Miksic - Piper Jaffray & Co.: Okay. One question I would ask you and you’re not obviously a giant player in spine, but you’re an important player in spine, and there’s been some back and forth over the past week or two about what does the spine market look like. We obviously saw a pretty healthy step up in Q4, the debate is how does that transmission into ‘13 and maybe what does that look like in terms of seasonality. I would love to get your view or at least maybe what your baseline assumptions are as you think about your outlook for ’13.
David M. Demski: I would say the market is showing signs of stabilizing. The three P’s that we’re all fighting against are pricing, payer pushback and POD. I would say pricing continues to be mid single-digit where it has been. The payer pushback is certainly not getting any worse and it seems to be anecdotally slightly better, but not a huge improvement. And again PODs are kind of where they have been as well. We think that’s 10% to 15% of the market. So, from our view in the fifth position here which is sometimes a little skewed, it seems to be stabilizing and in pretty good shape as we go into 2013.
Matt Miksic - Piper Jaffray & Co.: And if I could, just two quick clarifications for Rick, in terms of your comments; one, if I do the math on the numbers you’ve given it looks like Algea for the fourth quarter was a very small number or negligible for Q4, is that right?
David M. Demski: That is true.
Matt Miksic - Piper Jaffray & Co.: And then the other, I’d love to get any comment or color you’d be able to provide. In the past you’ve said, given some color is to the investments that you’re making in terms of your overseas expansion, you’re clear and helpful on the Algea investments. Can you give us some color as to how much of an impact that had on the EBITDA margin?
David M. Demski: At this point consistent with where we were in Q3 and Q2, it's roughly breakeven to providing a bit of EBITDA; but it's not significant at this point. We would expect that to mitigate and actually grow not mitigate over the next year. I do also want to make one other point just because apparently I misspoke about the total level of sales and that was not $38.6 million, it was $386.0 million as far as the total dollar value of sales for this current year, I would also want to misunderstand.
Matt Miksic - Piper Jaffray & Co.: Got it. Helpful. Thank you.
Operator: And your next question comes from Richard Newitter.
Richard Newitter - Leerink Swann & Co.: Hi, guys. Thanks for taking the questions. Maybe just to start off on kind of some of your commentary around the way that you were going to look as we move through the quarters. Can you maybe give us just a little bit more color, is it really a first half, second half kind of impact both from the top-line kind of growth trajectory given your really tough comp in the first quarter in sales and on the bottom-line should we think of that really more towards kind of the fourth quarter or are the Algea product launches expected to start earlier in the year in the second quarter where it should be more gradual; just any kind of color you can give us on how to model the quarters?
David M. Demski: We really look at when we do this, and I spoke we’ve been consistent since we’ve been on the roads and everybody gets to know us is, we encourage everybody obviously to look at a 12 month period and that actually rolls over the course of the year. So, from our perspective we don’t really want to talk about quarters on an individual quarter-by-quarter basis. What I attempted to do on was two things, one anybody that again was with us on the road and just heard us talk and actually has seen the numbers in Q1 and Q2 of last year. Q1 was one of those quarters that was just or beyond expectation quarter. We grew 20% year-to-year and actually for the first six months we had approximately 19% year-to-year growth from 2012 back to 2013. Those are tough comps for us to hit in any quarter going forward. So what I wanted to make sure we did was we understood that the growth rates that we’ve talked about and where you as a group view, the analysts as a group and have strained consensus is a number that we feel very comfortable with and that we wanted to make sure that as you worked with your numbers you're aware of the outstanding growth early in the year and then more normalized growth later in the year over those both two six month period.
Richard Newitter - Leerink Swann & Co.: Okay.
David M. Demski: Okay, so that I think helps with the revenue. I think you had some additional; if you could repeat your question?
Richard Newitter - Leerink Swann & Co.: Maybe just, that’s helpful on the revenue side, and I would imagine the EBITDA and gross margin kind of quarterly flow is going to be kind of similar to what we see with sales?
David M. Demski: Yes, we accept the factor that everybody needs to model into our numbers and everybody else in the medical device area obviously is the medical device tax. That is 2.3% against U.S. sales. Overall we’re somewhere in the neighborhood of that 180 basis points that I talked about. It is something that as it stands now will most likely put into cost of sales. So, you need to be able to adjust that in your models because that is one anomaly going forward. The other that we’ve called out is that of Algea. We had a particular hit that we called out in Q3 and then in Q4 because sales just weren’t there, but as we expect those sales will begin to ramp throughout the year accelerating towards the end of the year and that in fact will be slightly mitigated by yearend. So, work with those things please.
Richard Newitter - Leerink Swann & Co.: Okay. And just to be clear, for 2013 for the year outlook if you’re calling for essentially double-digit top-line growth, and when you say sustained EBITDA margin, is that off of a particular level like where you were in 2012, and that’s kind of what you’d like to sustain. Can you give us any color there?
David M. Demski: It's also the range of the fourth quarter.
Richard Newitter - Leerink Swann & Co.: Okay.
David M. Demski: But please don’t forget med device tax.
Richard Newitter - Leerink Swann & Co.: Right, so maybe it fluctuates inter quarter, but for the year we should see 2013 EBITDA margin looks something like what we saw in 2012 – fourth quarter 2012?
David M. Demski: Once you factor in med device of course.
Richard Newitter - Leerink Swann & Co.: Okay. And then just lastly, I was hoping, you’ve provided what your ex-Algea EBITDA margin was in the fourth quarter. Can you tell us what that was last quarter?
David M. Demski: It was 250 basis point of an effect in Q3, the dollar I don’t remember as clearly. The effect of it was a slightly higher amount this quarter in that as we talked in Q3, it was a number that was close to being fully baked in, in Q3 and was there in Q4 -- was fully there in Q4.
Richard Newitter - Leerink Swann & Co.: Okay; and then just one last one on CapEx. I know you had $4 million outlay for your new facility, just wondering should we think of CapEx in similar levels for 2013 as we saw or does it maybe go down or you don’t have that expenditure next year?
David M. Demski: We must certainly hope we don’t find another new building next year. So please factor and take a look at the cash flow and roughly model it we’ve said as a percentage of sales. It will grow proportionally with levels of sales as you model.
Richard Newitter - Leerink Swann & Co.: Okay. Thank you.
Operator: And your next question comes from David Roman.
David Roman - Goldman Sachs Group: Good afternoon everyone. Thank you for taking the question. I apologize for the background noise, but I’m on a cell-phone. Ricky, I know you’re walking us through a lot of numbers here. You had us sort of dancing in circles around the top-line and EBITDA. Why aren’t you guys just giving guidance so you can actually get us all in a -- having reasonable expectations, because I’m hearing a lot of moving parts here yet, double-digit growth like the back half of the year which would put you slightly below 13%. You’ve been out on the road saying 13% to 15% was the standalone top-line growth, EBITDA flattish, exit device tax, moving parts in CapEx like what are the numbers that you want out there?
Richard A. Baron: Thank you for your question, David. We’ve always looked at this business for many years forward for the long-term. We’re not thinking about in terms of quarters or even in 12 month. And frankly we feel comfortable that our strategy of introducing new products and growing our sales force is really the best way for us to continue on our growth path. The guidance we’re going to give is what we feel comfortable with sharing at this point and that’s how we’re going to be as a Company going forward. We want to keep focusing on the long-term. I would ask you to look at our results that we have put out, and judge us on the results. We do not feel comfortable about looking at it quarters and year-over-year.
David Roman - Goldman Sachs Group: So, were you willing to comment if I look at the 12.8% growth in revenue and $0.80 I think consensus right now is that consistent with your view of the world or is that far off?
Richard A. Baron: I think we feel really comfortable saying that our top-line growth will be double-digit industry leading growth and we’ll be able to maintain our EBITDA margins [pans] the medial device tax.
David Roman - Goldman Sachs Group: Okay. Maybe a few related questions to help us where that – could you maybe just give us a little bit of an update on how some of the launches that you had at the end of last year are going whether it's the cervical disc market or how you’re doing in that space. I think there as to more competitors, maybe just any products related update you could provide would be helpful.
Richard A. Baron: Yeah, as Dave mentioned we launched the SECURE-C device and we had a strong group of product introductions. We don’t specifically comment on individual product performances, but for the year we launched over 14 products. We only count a product launch if it has a graphic case and it's a uniquely different product we don’t count line extensions as product launches, so we did launch more than 14 products in 2012. We do not comment on individual product performances.
David Roman - Goldman Sachs Group: Okay. Then are you willing to comment on how they’re progressing relative to your expectations and the 14 new product launches in ’12, are you on track to do something similar in ’13 and how dependent is your growth on those new product launches?
David M. Demski: Maybe part of the way that we think here is, historic performance for us is rehearse sort of what we think we can do in the future. Over the existence of the Company we’ve launched in excess of the 100 products. This past year we actually have always talked about 5 to 10 new products each year. This year, this past year we accomplished 14 items, and that lead to the overall growth during the year of something north of 16%. Next year we have or as of right now we have an excess of 30 products in various stages in a development path, and we feel again that we’ll be able to launch between the 5 to 10 new products during 2013.
David Roman - Goldman Sachs Group: Okay, understood. Thank you.
Operator: And your next question comes from the line of Matthew O'Brien.
Matthew O'Brien - William Blair & Co.: Good evening. Thanks for taking the questions. David, I know you don’t want to comment too much on specific products, but the performance in disruptive technologies accelerated during Q4. Can you just give us a sense for especially domestically I think everybody kind of gets U.S. opportunity to domestically the drivers there in terms of was it 12.5% more driven by new account penetration or just additional penetration within the existing accounts. And then within that later question, do you help to frame the opportunity that you have in broad basis products within your existing customers, I mean are you 10% generally speaking penetrated among your customer base and that 20% to 30% over time or just how can we think about that?
David M. Demski: I really think it's a mix of all of the above as we continue to introduce a number of new products per year, it allows us to convert business from surgeons accounts we don’t already have. It enables our existing sales force to be more productive and efficient and we’re also adding feet on the street to sell that portfolio. We don’t really break it down and slice it and dice it into what the components come from there but, new product introductions and new people are both equally important.
Matthew O'Brien - William Blair & Co.: Okay. One of your competitors you should give us, (indiscernible) public the revenue per case kind of number and where that can go over time, is that not something that you’re willing to share?
David M. Demski: We don’t share that amount.
Matthew O'Brien - William Blair & Co.: Okay. And then under the VCF strategy given the sizable investment that you guys are making there, there’s fairly a number of companies out there with balloons and cement, I’m just curious how do you guys intent to differentiate yourselves that’s the strategy and that’s works quite well for both in the past elsewhere and how do tend to differentiate yourself from all those other technologies, and what are your thoughts in terms of market share opportunity there in four to five years, would it be fair to think of something around 10% over that timeframe?
David M. Demski: Well, I think we’ll continue to innovate in a similar fashion that we’ve done on the metal side of the business. We have a couple of products in the pipeline that we’re pretty excited about. We’re not ready to share the details of those products, but you will be seeing one of them certainly this year and another one maybe this year towards the end of or early next year; and so I think we have the ability to differentiate it. We think it's a $500 million market and with good strong basic products and innovative products we will get our shares. So I don’t think it's inconceivable that division would mirror what we’ve done on the metal side over time.
Matthew O'Brien - William Blair & Co.: Okay, and last one for me. There’s been a lot of investor conciliation about the impacts to your business both lock up, I am just curious what about month, month pass that point now. Have you seen any kind of material change in your business in terms of abnormal a certain turnover or anything else like that that we see around?
David M. Demski: Not at all.
Matthew O'Brien - William Blair & Co.: Okay. Thank you.
Operator: And your next question comes from the line of Bob Hopkins.
Bob Hopkins - Stifel Nicolaus: Thanks. Can you hear me okay?
David M. Demski: We can hear you, Bob.
Richard A. Baron: Yes, Bob.
Bob Hopkins - Stifel Nicolaus: Great. Hi, guys. So a couple of things; first on the financials, I just want to make sure I’ve got the EBITDA guidance correct here. So, relative to the fourth quarter you’re saying that excluding the med tech tax, do you feel comfortable saying you can be at least at the level that you’re right now. Is that correct or do I also need to factor in some dilution from Algea in addition to the medical device tax?
David M. Demski: That’s what I attempted to say, the former part of your comment.
Bob Hopkins - Stifel Nicolaus: So, how much do we – how much dilution from Algea over the course of the year in your view?
David M. Demski: That’s something we hope to be – don’t forget our models that we talked about is similar to what we did in OUS. In 2010 we launched OUS it had an effect on our margin of anywhere from 2.5 to 3 percentage points in our margin. As that began to breakeven and began to throw off money we launched Algea, same dollar amount same effect, and so as we began to rotate through the Algea investment we’ll be able to throw those dollars into ongoing new innovation and new investment.
Richard A. Baron: And Bob, can I just add a little bit to that. There’s quite a bit of leverage in the Algea model that we have right now. And as sales ramp we’ll see the impact pretty pronounced on EBITDA, so at this point we had a few stumbles, I think we have documented those in the past and we’re expecting that turnaround to come in the second half of this year. So the first couple of quarters you’re not going to see a lot, but we expect the sales ramp to occur in the last half of the year.
Bob Hopkins - Stifel Nicolaus: Okay, but for the full-year on EBITDA basis is that a -- it's either, is it a marginal detractor from EBITDA over the course of 2013 or is it contributing to EBITDA in 2013?
David M. Demski: No, we’re guiding to the full effect of the med device tax, we’ll be able to as we talked about how leverage to …
Bob Hopkins - Stifel Nicolaus: No, just on Algea.
David M. Demski: We’ll be able to regain some of that loss of the device tax by the end of the year.
Richard A. Baron: I think Bob it's going to be still a net detractor from what we can be. So Algea won't be full positive EBITDA for the year. That’s what you’re asking.
Bob Hopkins - Stifel Nicolaus: Okay, yeah, that’s what I was asking. Thank you. David, so just on EBITDA overall then, if we exclude Algea and we exclude the medical device tax, do you expect EBITDA leverage this year or should we expect that margins will be flat excluding those two items?
David M. Demski: If you exclude those items it will be flat.
Bob Hopkins - Stifel Nicolaus: And then, any change in your views in terms of how you think the spine market will play out in 2013, like in your guidance are you assuming status quo or any pick up in the market or pricing or just increases to what you’re assuming for 2013 as it relates to the market?
David M. Demski: Pretty much the status quo, I think I commented earlier we think the market might be firming, certainly not getting any worse, so we’re assuming those will.
Bob Hopkins - Stifel Nicolaus: Okay. And then when is the next Algea product launch, is it -- from your comments I guess it probably launches around mid-year?
David M. Demski: Yes.
Bob Hopkins - Stifel Nicolaus: And then just on SECURE-C and you guys obviously talked very confidently about it. I mean, what would limit you from grabbing 10%, 15% of that cervical disc market in 2013?
David M. Demski: The limiting factor with our cervical disc’s are reimbursement so that’s still a lot …
Bob Hopkins - Stifel Nicolaus: No, no. What I mean, there’s an existing market today. So my question was what would prevent you from getting 10%, to 15% of the existing cervical disc market?
David M. Demski: Well, so reimbursement is still an issue because we’re not necessarily on those payers formulary.
Bob Hopkins - Stifel Nicolaus: Okay.
David M. Demski: So we have to go through that process. That takes time, and there’s also a training component, so the FDA even though the surgeon maybe very experienced and doing (indiscernible) he still has to go through training to use SECURE-C. So, that’s like sort of a natural barrier to a rapid adoption.
Bob Hopkins - Stifel Nicolaus: Okay. And then lastly for me. On the 2013 new product launch side, are there one or two things that you’re most excited about that will be launching in 2013 that you’d care to talk about and I know you answered some things that are already launched, but is there anything you think it would really matter to the business that’s launching in 2013 outside of a mid-year launch of the next generation Algea product?
David M. Demski: Not really, Bob. I think like we said on the road, we’d focus on singles and doubles and we hope to launch 5 to 10 new products this year, and we don’t really want to comment on any one products impact there.
Bob Hopkins - Stifel Nicolaus: And are there any other major litigation milestones this year that we should be aware of?
David M. Demski: Yeah the – plate spacer pattern is scheduled to go to trial this year. Those schedules can fluctuate pretty dramatically. So, that’s certainly a potential.
Bob Hopkins - Stifel Nicolaus: All right, great. Thanks for the time guys.
Richard A. Baron: Thank you, Bob.
Operator: And your next question comes from Steve Lichtman.
Steven Lichtman - Oppenheimer & Company.: Thank you. Hi guys. Maybe just two questions from me; as you build out this Algea sales force; can you talk a little bit about your vision for the sales force over the next three to five years; will you be dropping in a lot more products in the bag beyond VCF interspinous spacers anything else. How do you see that sales force playing a part for you guys over time?
Richard A. Baron: Well, our focus on Algea Therapies is beyond VCF, the focus is on interventional pain management. The reason we have a separate sales force is that this is a different call pattern, different surgeons, so if spine surgeons are doing traditional instrumentation it will be carried by our existing sales force. We are working on several other products for the interventional pain management arena, and that’s what that sales force will be carrying.
Steven Lichtman - Oppenheimer & Company.: Okay, thanks. And then on [pods], any update where you’re hearing from your regulatory team in terms of potential increased scrutiny from government entities that we could see perhaps in 2013, any movement that you’re seeing on that front?
David M Demski: We heard about a lot of activity in Washington. We haven’t seen the results of that, so its – they get moves up the pace of the belt lines.
Steven Lichtman - Oppenheimer & Company.: Okay. So no definitive timelines or milestones we should be looking for?
David M Demski: No, nothing competitive, no.
Steven Lichtman - Oppenheimer & Company.: Okay. Thanks guys.
Operator: (Operator Instructions) And your next question comes from the line of Bill Plovanic.
William Plovanic - Canaccord Genuity: Great. Thanks. Good evening. I only have two questions. One is just on the sales force; I was just wondering if there is any metrics broadly you would be willing to share on growth of that in 2013 versus ’12 and ’11?
David M Demski: Hey Bill, it’s Dave. No, we’re not going to share the details on that, sorry.
William Plovanic - Canaccord Genuity: Okay. That’s fine. And then just new products, I know it was asked, but I ask in a different way. We have double AOS coming up in three weeks. Is there anything coming in like that, that you’re going to be profiling that’s new versus NASS that we could stop by the booth and take a look at? That’s all I have. Thanks.
David M Demski: No, nothing significant. A couple of small ones that will be there.
Richard A. Baron: But we would welcome you stop by – stopping by the booth.
William Plovanic - Canaccord Genuity: I'll be by the booth, on the booth to your, thanks.
Richard A. Baron: Thanks, Bill.
Operator: And our next question comes from the line of Matt Miksic.
Matt Miksic - Piper Jaffray & Co.: Hey, just got a follow-up here. I’m going to take another run at this question about outlook. I’m sorry, I apologize in advance, but I just want to parse out exactly what you’re saying and make sure we have it all button down type. So on the top line; I think Rick your comment was double-digit growth, which is consistent with the back half of 2012. Is that right?
Richard A. Baron: Correct.
Matt Miksic - Piper Jaffray & Co.: And so that would be if I would look at 2012, that’s something in the range of say 13% growth and is that the growth in a double-digit that you’re expecting for 2013 or is that the growth that you settle into after you get past the tougher comps of say the first and second quarter?
Richard A. Baron: What we attempted to do was make sure that everybody is aware of the tough comps. Next year at this time obviously everybody will be aware of it because were – whatever those comps are hopefully none of them are difficult. So, we felt we needed to explain and remind people of how much we grew in Q1 and Q2 of last year. To apply that kind of a growth rate throughout the year, we take about comps like that might be – we feel it might be a bit aggressive.
Matt Miksic - Piper Jaffray & Co.: Sure, quarter-after-quarter, but for the full-year is that the range that we should be thinking about your – when the dust clears and its – this time next year, we looking at a growth rate for the full-year that looks like the second half of ’12, is that the right way to gauge your comment?
Richard A. Baron: Well, we will grow into that kind of a rate over the course of the year.
Matt Miksic - Piper Jaffray & Co.: Okay. That’s helpful. And then on the – then again I apologize, but just want to be very specific, you gave a year-end EBITDA margin ex-Algea of 38%. If we assume no – roughly consistent, no increase no decrease with that, we start with that rate for ’13 and we take out the med tech tax, 180 bps and we take out some nominal another couple of 100 basis points of investment for Algea that gets us into the range that you would like us to be and I guess I calculate that to be between 34% and 35% in total for ’13. Is that math right?
Richard A. Baron: Correct. That’s what we – again, the way we – and yes Matt, and the way I would emphasize to people is take a look at how we perform historically. Over the course of our growth periods in the past couple of years, we’ve been very consistent in the growth in that, in the levels which I’ve discussed and our adjusted EBITDA when not affected by such things as devices or the introduction of a new business has settled into the range that you just discussed. The way we look at the business is that historic performance and we feel that we can sustain that over the course of at least this year for the period that we’re talking about.
Matt Miksic - Piper Jaffray & Co.: Great. Thanks. Sorry to go through in such detail, I just want to be clear. Thank you.
Richard A. Baron: Matt, thank you. This is new for us, so we’re trying to provide the appropriate information given the philosophy of the Company. So thank you for your patience and thank you everybody that has been asking the questions. We actually appreciate it.
Operator: And this concludes today’s conference call. You may now disconnect.